Operator: Greetings and welcome to the Tecnoglass Inc. Fourth Quarter and Full Year 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Brad Cray, Investor Relations. Thank you. You may begin.
Brady Cray: Thank you for joining us for Tecnoglass' fourth quarter and full year 2019 conference call. A copy of the slide presentation to accompany this call may be obtained on the Investors section of the Tecnoglass website. Our speakers for today's call are Chief Executive Officer, Jose Manuel Daes; Chief Operating Officer, Chris Daes; and Chief Financial Officer, Santiago Giraldo. I'd like to remind everyone that matters discussed in this call, except for historical information, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements regarding future financial performance, future growth and future acquisitions. These statements are based on Tecnoglass' current expectations or beliefs and are subject to uncertainty and changes in circumstances. Actual results may differ in a material nature from those expressed or implied by the statements herein due to changes in economic, business, competitive and/or regulatory factors, and other risks and uncertainties affecting the operation of Tecnoglass' business. These risks, uncertainties, and contingencies are indicated from time to time in Tecnoglass' filings with the SEC. The information discussed during the call is presented in light of such risks. Further, investors should keep in mind that Tecnoglass' financial results in any particular period may not be indicative of future results. Tecnoglass is under no obligation to and expressly disclaims any obligation to update or alter it's forward-looking statements whether as a result of new information, future events, changes in assumptions or otherwise. I will now turn the call over to Jose Manuel beginning on Slide number 4.
Jose Daes: Thank you, Brad and thank you everyone for participating on today's call. 2019 was another exceptional year for Tecnoglass in which we achieved record total revenues, gross profit, adjusted EBITDA, and backlog. Additionally, we effectively managed our inventory and working capital contributing to further balance sheet improvement and robust cash flow into year-end. We were especially pleased to deliver positive free cash flow during a year where we invested a considerable amount of capital towards completing several high-return projects. This will further enhance the strength of our vertically integrated operations over the long-term. We are excited by the momentum with the launching [ph] of our business. With this in mind, and in line with the vision of our high-return growth strategy, we have amended and simplified our dividend policy by eliminating the option to receive dividend in the stock, starting in the first quarter of 2020. After a long review process, we are confident that our amended dividend policy further aligns with the interest of our shareholders. We remain committed to returning a portion of capital to shareholders while delivering strong returns on identified growth initiatives and accretive investments to drive improved profitability and cash flow. As demonstrated during 2019, we continued to dramatically expand our presence in the US which now represents 35% of our total revenue. We consider ourselves to be a US company supported by a world-class manufacturing operation and logistical network rooted in Colombia. Based on the attractive mix of projects and backlog, over the next 12 months, we expect the US to remain the primary driver of our growth. Through our expanding reputation for excellence and our extensive portfolio of projects in diverse regions, we believe we can continue to gain market share through further geographic expansion in our commercial business and a continuation of meaningful projects within regulations [ph]. In Colombia, the revenues were up double digits year-over-year in the fourth quarter, excluding FX. Similar to the improvement last quarter, this was encouraging and better than expected while we remain cautiously optimistic. In summary, we believe our 2019 results and [indiscernible] reinforce our commitment to creating meaningful value. We are outpacing market growth and delivering higher profits and cash flow while aligning our capital structure to produce more attractive returns. Into 2020, we remain excited by our project pipeline and the strengths of our industry-leading margin business. I will now turn the call over to Chris to provide additional details on our backlog.
Chris Daes: Thank you, Jose Manuel. Moving to our backlog on Slide 6. We continue to generate record levels of project backlog which is stood at $542 million at the end of 2019. Backlog increased 5% year-over-year, primarily representing attractive project wins and positive reception of our advanced glass and curtain wall system. Backlog grew each quarter on a sequential basis through the year, primarily in the US, which now represents 90% of our backlog compared to 82% in 2018. The quarter four backlog level represents more than 1.3 times our trailing 12-month revenue, and an even more impressive 1.5 times when excluding residential sales which do not get captured in our backlog. We continue to see solid levels of quoting and bidding activity, and we have a strong base of activity that gives us confidence in our goals for 2020. On the product side, the success of our residential offerings, primarily through our Prestige and Elite product lines continue to earn us new business with residential now accounting for over 80% of our US business. Full year 2019 single-family residential sales increased by an impressive 78% surpassing our expectations. On the commercial side, we had several exciting project wins in the new and existing geographies. Given the robust construction activity in many markets were very low on employment rate in the US, some customer experienced labor constraints which pushed some activity into 2020, but overall the environment remains very positive. Our recently automated facilities and added aluminum capacity are coming online at a great time to capture the incremental demand that we anticipate for our business overtime given our strong backlog. Into 2020 we will continue to focus our efforts on adding new customers, entering new markets and providing best-in-class service. While we are growing our backlog, we are being mindful to carefully balance volume and price with a focus on sustaining our industry leading margins. We have a strong R&D pipeline of high-performance growth that should allow us to continue growing faster than our end-markets. We look forward for another year of above market growth in sales, adjusted EBITDA, and we benefit from our structural advantages to continue gaining share. I will now turn the call over to Santiago to discuss our financial results and market.
Santiago Giraldo: Thank you, Christian. Beginning with our financial highlights on slide number 8. During 2019, we expanded our business into new geographies, capture an increasing amount of the value chain through our vertically integrated model, invested in our facilities and implemented cost savings initiatives. 2019 reflects these collective efforts with double-digit growth in sales, gross profit and adjusted EBITDA, allowing us to hit record levels in each of those metrics for the full year 2019. This is a true statement to our team's ability to execute our strategy in attractive high-growth markets. In the fourth quarter, we did see temporary impacts of tight labor on the U.S. sales and gross margins. Aside from those labor dynamics, we closed out the year with good momentum, which I will discuss in a moment. For the year, we were pleased to generate very strong operating cash flow of $27 million, allowing us to generate positive free cash flow while successfully completing our high-return capacity and automation initiatives. This highlights our continued focus on enhancing our working capital management, mainly through tighter inventory control and managing account receivables. We spent $25 million on CapEx for the year, with the majority of that geared towards the capacity upgrades and automation initiatives. We thank our hard-working teams for completing these operational enhancements on time and within budget. We ended the year with a strong cash position of $48 million and a net leverage ratio of 2.3x, down from 2.6x last year. This balance sheet strength supports our growth initiatives and previously announced investments such as the planned construction of our second float glass facility in our joint venture. In regards to our capital structure, our new simplified dividend methodology, which José discussed earlier in the call, allows for the continued return of a portion of capital to shareholders while eliminating the dilutive impact of stock dividends to existing shares. The revised cash portion approximates the aggregate value of cash dividends that we have made during most of our recent four quarters and a yield in line with our dividend-paying peers. As another simplification to our capital structure, in December, we announced our planned delisting from the Colombian Stock Exchange. Our move to an exclusive listing on NASDAQ is aligned with the evolution of our business and the movement of our shareholder base to the U.S. In addition, we will save time and money on the administrative requirements associated with multiple exchanges. We expect to complete the Colombian delisting by the end of 2020. Looking at the drivers of revenue on Slide number 9. Continued outperformance in the U.S. drove the majority of fourth quarter sales growth, which increased 4% to $101.4 million. The U.S. primarily reflected stronger residential invoicing and healthy commercial construction activity. This was partially offset by delayed starts on key commercial projects, representing an estimated $5 million of deferred invoicing. As we mentioned earlier, the delays were mainly due to temporary labor constraints experienced by our customers amidst overall robust commercial construction activity. In Latin America, we were pleased with better-than-expected fourth quarter performance in Colombia, where revenues grew 9.2% year-over-year and 17.4% excluding FX. For the year, the U.S. continued to mark an increasing mix of our business, representing approximately 85% of our total revenue. This compares to an average of approximately 80% for our U.S.-based building products peer group. Looking at the drivers of adjusted EBITDA on Slide number 10; adjusted EBITDA for the fourth quarter 2019 was stable year-over-year at $21.5 million, representing an adjusted EBITDA margin of 21.2%. Adjusted EBITDA for the full year increased 14.4% to a record $92.4 million, representing a margin of 21.4%. Gross profit was $29.3 million, representing a 28.9% gross margin. This compared to gross profit of $34.1 million in the prior year quarter, representing a gross margin of 34.9%. The difference in gross margin for the quarter was primarily related to higher U.S. labor costs. This was mainly related to installation revenues and sub-contracting costs, which are the more labor-intensive aspects of our business. The impact was most pronounced in the southeast, where economic recovery is the strongest in the U.S. To a much lesser extent, our fourth quarter gross margin was adversely impacted by modestly higher aluminum cost per unit, attributable to higher cost inventory purchased earlier in the year. I'll provide some context here. The aluminum impact was mainly felt on the residential side of the business. While we typically lock in raw aluminum supply for commercial projects in backlog, our faster-paced residential business is more exposed to moves in aluminum spot prices and the timing of raw material inventories flowing through the P&L. As of the year-end, we have worked through a higher-cost aluminum in inventory. Gross margin in the fourth quarter also included approximately $1.5 million of nonrecurring costs to finalize the implementation, testing and start-up of our high-return automation projects at our production facilities. Despite these adverse impacts during the quarter, we ended 2019 with a record full year gross profit of $135.8 million. We anticipate that the efficiency savings from our timely completion of automation initiatives, among other actions, will help to mitigate any continuation of these higher labor costs. Our operating expenses as a percentage of revenue improved by 200 basis points year-over-year to 18.3% in the fourth quarter. This reflects operating leverage on higher revenues coupled with ongoing company-wide initiatives to improve SG&A, mainly on shipping and handling and personnel costs, which we discussed last quarter. Our full year operating expenses improved by 180 basis points to 17.9% of sales due to reasons similar to the fourth quarter drivers I just mentioned. Our reshipping costs have remained relatively stable for us, given the favorable trade dynamics between Colombia and the U.S. Overall, our highly efficient manufacturing capacity and our sustainable access to talented employees continues to generate strong results. We remain confident in our ability to generate strong margins on higher sales while mitigating the impact of what we see as a temporary headwinds in the industry. We will continue to source additional avenues to improve efficiency and reduce our cost base. Looking at the construction demand in our key markets on Slide number 12. U.S. commercial construction activity continues to dominate our business while residential is becoming an increasingly important end market for us. Rising construction activity, low interest rates and consumer spending are expected to drive demand for architectural glass products over the next 5 years, according to third-party sources. The Architectural Billing Index is above 50 in all of our key regions, suggesting further expansion on the commercial side. Combined with a generally stable to positive outlook on the residential construction, we see macro support for a favorable end-market environment in coming years. We believe that our markets in the U.S. will continue to grow faster than international average. We also expect to take share in our market, largely driven by enhanced relationships with new customers, proven execution in a broad range of high value-added projects and structural differences that allow us to be very competitive while maintaining a quality-first approach. With our exposure to both commercial and single-family residential, we see significant upside in our business to capture a rising share of U.S. demand into the new decade. In Colombia, GDP growth in 2019 accelerated by 80 basis points to 3.3%. Additionally, construction permits more than doubled as of December. Taking into account these positive trends with prior volatility, we are maintaining a cautiously optimistic outlook for Colombia in 2020. Looking at our continued expansion into the residential market on Slide 13. As a reminder, we refer to U.S. single-family residential as our residential business. We classify all other sales, including medium and high-rise condos, as commercial. In 2017, we entered the U.S. single-family market, and a rapid growth in this segment of our business continues to surpass our expectations. Our residential revenues grew at an impressive 78% in 2019 and now represents 18% of our U.S. revenue, compared to just 3% 2 years ago. We see significant potential in our ability to capture additional share of residential demand due to the various positive U.S. macro factors that I discussed previously. Moving on to our high-return investments on Slide number 14. As of the end of 2019, we successfully completed all of our high-return growth and efficiency initiatives. This includes our midyear aluminum production capacity expansion in response to strong customer demand for aluminum products. In the fourth quarter, we completed our other initiatives to automate key operations at several glass and aluminum facilities as planned. As of the end of 2019, we have deployed $18 million of our total anticipated $20 million capital investment. We expect the remaining portion to be spent in early 2020 after all testing and start-up is complete. In regards to our float glass joint venture with Saint-Gobain, the previously announced construction of the second state-of-the-art, world-class plant in Colombia is expected to begin construction in 2020 and expected to be operational by 2022. We have advanced on the permitting and the preconstruction administrative aspects to get the project moving as planned. We continue to be encouraged by the additional efficiencies we expect to gain through the expansion of our vertically integrated float glass supply. Moving to our 2020 outlook on Slide number 16. We anticipate above-industry top and bottom line growth in full year 2020. For the full year, we expect revenues to grow to a range of $445 million to $455 million. We expect the U.S. to represent the significant majority of growth, fueled by innovative new products, project types, geographic expansion and further penetration into single-family residential. Based on this sales outlook and anticipated mix of revenues, we expect full year adjusted EBITDA to be in the range of $97 million to $102 million. This outlook assumes favorable operating leverage on higher revenues and the flow-through of high return investments. We anticipate that these favorable factors, together with SG&A efficiencies, will offset impacts from increasing labor costs, which we expect to be most pronounced in the first half of 2020 I'll provide some additional color on the first quarter of 2020. We expect the first quarter to be our smallest quarter for revenues and EBITDA. This is in line with our typical seasonal U.S. construction trends and also the timing of our factory scheduled annual major maintenance during January. In addition, in the first quarter, we will also have a challenging prior year comparison due to the unusually strong timing of invoicing in the first quarter of 2019, even a spike in residential orders. As mentioned, the impacts of labor and sales and revenues are mainly a first half dynamic. Accordingly, we expect our year-over-year growth to be the lowest in the first quarter of 2020 and accelerate as we move through the year. I'll mention that, at this point, we have not seen any direct impact on our business due to the coronavirus. In addition, our supply chains do not have any material overlap with China. Based on our current backlog schedule, we do not have any impact of the virus incorporated into our 2020 outlook at this time. That said, we are mindful of the potential disruption that this unfortunate epidemic may potentially cause for our customers during any stage of construction. Therefore, we will continue to monitor the situation and provide updates as we move through the year. In summary, we believe we are well positioned to deliver another year of double-digit growth in sales and adjusted EBITDA as we capitalize on the many positive catalysts mentioned on today's call. We are confident in the trajectory of our business and look forward to executing on our multiyear project pipeline while actively pursuing additional opportunities to generate attractive returns for our shareholders in 2020 and beyond. We will be happy to answer your questions. Operator, please open the line for questions.
Operator: Our first question comes from the line of Mike Shlisky with Dougherty & Company.
Mike Shlisky: So looking at the guidance for 2020, it's 5% revenue growth at the middle of the range. And with backlog's up 5%, I guess that makes some sense. But last year, you were up, I think, 3% in backlog and delivered 16% growth on the top line. And you are seeing some good res trends, which doesn't really hit the backlog. So I just kind of want to guess would have had a bit higher than the $450 million-or-so revenues for 2020. Can you maybe kind of walk us through some of the moving parts on the res business for 2020? Are you, at this point, being very cautious? I don't know if you'll be able to get 78% growth again, but any kind of ballpark would be helpful to see if there's any kind of upside from here.
Santiago Giraldo: Yes, Mike, this is Santiago. A couple of things there. On the resi, we're still projecting double-digit growth, low double digit, which we think is cautious, like you said. We want to get a little more color as to how this moves along with all the circumstances around everything that's going on, but we feel that that's certainly a prudent approach at this point in time. On the commercial side, the timing of the backlog, if you look at it, we grew quite a bit at the end of 2019, with some of that backlog actually getting invoiced towards the end of 2020 and into 2021. So you also want to be mindful of delivery times at the end of 2020 in order to be able to account for that revenue this year. So there were -- those were the 2 main considerations that we have when we guided for this year.
Mike Shlisky: Okay. Also wanted to ask about the $5 million worth of orders that were pushed out from Q4. Will that all hit your top line in Q1? Or when you have -- is the backlog such that you might get it in Q1, but then you'll have $5 million of different business pushed into Q2? Like what's the cadence for that first half business?
Santiago Giraldo: Yes, the expectation is for the first half of the year. In our end, is really not under our control. I mean it's more on the clients' control as to when they can solve some of their operational issues. So for modeling purposes, I would say, Q1 and Q2 is probably the safe way to go.
Mike Shlisky: Okay. And then on CapEx, I know it was elevated in 2019. I just didn't see it in your release. Was there any kind of outlook for 2020 for your CapEx budget?
Santiago Giraldo: Definitely much lower than 2019. I think $7 million or so is a prudent number. We still have the tail end of our efficiency investments, probably $2 million to $3 million and then the rest being mainly maintenance CapEx. But it's certainly a much lower number than 2019 based on what we have going forward.
Mike Shlisky: So as the automation kicks in and growth rates get a little bit more -- it sounds like a little more under control here, maybe not quite what we saw in 2019, there's a pretty good free cash outlook then for 2020?
Santiago Giraldo: Yes. Well, you saw what we were able to do at the end of 2019. Certainly, a lot of improvement year-over-year, mainly on working capital management related to inventory procurement. And from a free cash flow perspective, obviously, having a much lower CapEx will help. So obviously, we're focusing on continue to generate free cash flow and operating cash flow, obviously.
Operator: Our next question comes from the line of Tim Wojs with Baird.
Tim Wojs: Maybe just a high-level question. So relative -- I'm just curious, your visibility today as you kind of enter 2020 relative to prior years, how would you kind of describe that visibility for 2020 relative to how you've had visibility entering up like any previous year?
Santiago Giraldo: Well, I think the exception would be more of a macro with everything kind of going on right now. On the commercial side, you have a lot of visibility based on the timing of projects. Obviously, you can control when you can deliver the products. On the resi side, I think we're taking a cautious approach and see how things evolve. We're still, like I was saying, projecting double-digit growth on the resi side. Last year, we grew 78%. Obviously, we were not going to bake in the same type of growth for this year. We expect the positive trend to continue but are taking a more measured approach as we move through the year, and we can update based on actual results.
Tim Wojs: Okay, okay. And then as you think about just the returns on some of the automation equipment in aluminum, could you just remind us what the benefit to that in 2020 could look like?
Santiago Giraldo: It's going to depend all on demand. Thus, as you recall, on the aluminum front, we spent about $5 million. And really, the payback on that is very short. It's about 24 months. So if the demand is there, and we haven't even touched into what's going on in LatAm, but if you look at the trend, we've seen some positive trends in the last couple of quarters, we're not baking in any substantial upside there. But if it does take place, that the trend continues, we should be able to fill up that -- more of that capacity. So we're expecting quite a quick payback on those investments, Tim.
Tim Wojs: Okay, okay. And then just to make sure I've got it right. Just if you look at gross margins and you look at SG&A, do you -- where would you expect the most leverage in 2020 to come from? The gross margin line? Or would you expect that strong SG&A leverage to continue?
Santiago Giraldo: Absolutely. It's definitely going to be on the gross margin line. We should be able to do 150 to 200 basis points on operating leverage there. Obviously, there were some one-offs this quarter that impacted the results. But beyond that, absent any headwinds on U.S. labor, remember that we have the automation kicking in, in this quarter, and we're expecting to drive some synergies there. So from a gross margin perspective, we're expecting operating leverage. On the SG&A front, the main leverage that we got in 2019 was related to shipping and handling. We are expecting to ship a bit more into further places, so we're being a little prudent as to how we model SG&A. So on that front, I think it's going to be kind of more flattish, and we'll be able to get the leverage on the COGS side.
Operator: Our next question comes from the line of Josh Wilson with Raymond James.
Josh Wilson: I wanted to drill down a little more on some of these things here. So as it relates to the cadence of sales for the year, given all the headwinds you listed for 1Q, do you still expect 1Q sales to be flat to up year-on-year?
Santiago Giraldo: Yes. I think flat modeling is probably about right. And again, let's remember that we have a pretty tough comp because Q1 of last year had a significant spike in resi sales. This year is more of a usual quarter where we had a couple of weeks for scheduled maintenance. So the way that we're modeling this is kind of a flat Q1 and then ramping up over the year, like you heard in the call.
Josh Wilson: Got it. And then as it relates to your answer to the previous question on gross margin, just to make sure I understood, you're looking for 150 to 200 basis points in expansion with more so in the back half than maybe less so in the front half, given the ongoing labor inflation headwinds. Is that about right?
Santiago Giraldo: That's absolutely right.
Josh Wilson: Okay. And then in your guidance, specifically, are you assuming Colombian sales are flat? Or what's the assumption there?
Santiago Giraldo: Yes, we are assuming flat sales with growth coming out of the U.S. If Colombia continues the positive trend that we have seen over the last couple of quarters, then that would be an upside to results.
Josh Wilson: Got it. And then, last one for me. Your days accounts payable dropped quite a bit year-on-year. Was that just timing? Or has there been some adverse shift there?
Santiago Giraldo: No, it's timing. I mean it depends on what you have or what kind of orders of inventory you have at one point in time. So we don't expect any structural changes there.
Operator: Our next question comes from the line of Julio Romero with Sidoti & Company.
Julio Romero: I wanted to ask if you could potentially quantify how much of an impact higher U.S. labor cost had in the fourth quarter. And if you're seeing that particular labor constraint in any particular geographic regions of the country or if it's rather just kind of broadly spread out?
Santiago Giraldo: Mainly in the southeast, as you heard. And it was a lot more related to the installation. And to your question as to how much it was, it was about $1.5 million that we saw during Q4. We're monitoring to see what Q1 looks like. We hope that to be a temporary effect. And as you heard in the call, we're looking to mitigate some of that impact with the automation that is kicking in, in the Q1, which will help us with labor cost in Colombia.
Julio Romero: Okay. Got it. And can you talk about maybe what the final install versus manufacturing sales mix was in 2019? And I know you said you expect greater mix from manufacturing in 2020. But if those U.S. labor headwinds continue, if that mix can potentially swing more towards manufacturing than what is currently embedded in your guide?
Santiago Giraldo: It all depends on the end clients. We actually have a more weighted revenue mix on the manufacturing side in the first quarter or so. We do expect to have a better gross margin based on that during the first couple of quarters. But at the end, the mix of shipping is going to kind of depend on customer orders because, obviously, you can't ship anything until you get those orders in place.
Julio Romero: Got it. And just last for me, just housekeeping here. Would you happen to have the dollar amount for shipping and handling on the full year?
Santiago Giraldo: It's about 5% of revenues. For this year, it's going to be about $8 million or so.
Operator: Our next question comes from the line of Brent Thielman with D.A. Davidson.
Brent Thielman: Maybe more on the residential side. Are you guys exploring any new markets kind of beyond the Southeast Florida? Would you still feel like the TAM is still big enough and underpenetrated there?
Jose Daes: This is José Daes. We are moving up -- upstate Florida because we were selling only residential in Dade, Broward and Palm Beach County. Now we are on the West Coast up to Tampa. And now we're moving to the Panhandle, and we're trying to open also on the East Coast up to Jacksonville for the moment.
Brent Thielman: Okay, okay. And then just given all the movement in commodity prices as of late, maybe you can just update us on kind of the impact of the P&L, material costs, aluminum and so forth as we think about 2020. And I assume, at this point, do you have any new supply chain disruptions or anything like that?
Santiago Giraldo: That's correct. I mean at this point, we haven't seen any. It's hard to tell what that's going to look like going forward, not only for us, but for our industry. In Q4, we did have a little bit of a headwind with some higher-priced aluminum for short-term orders. But going forward, we're modeling commodity prices being somewhat stable. But again, we'll have to wait and see what happens with everything that's going on right now.
Operator: Our next question is a follow-up from Mike Shlisky with Dougherty & Company.
Mike Shlisky: I wanted to circle back on your SG&A commentary from one of the earlier questions. You stated earlier that on a dollar basis, it's looking flat for this year? Or is the percent of sales going to be flat from the previous year?
Santiago Giraldo: I'm sorry. Are you asking if SG&A is going to be flat year-over-year?
Mike Shlisky: Yes. I thought you had said that. And I wasn't sure if you meant on a dollar or a percent basis.
Santiago Giraldo: No, on a dollar basis. On a percentage basis, I was saying that we don't expect to get significant operating leverage over the higher sales. And that's just based on the fact that we're expecting to ship into a lot more kind of further destinations. So we are now projecting to be able to get the same shipping and handling efficiencies that we were able to obtain in 2019. But on an absolute -- on absolute terms, we are modeling SG&A to be a little bit higher on a dollar basis.
Mike Shlisky: Okay. Got it. Got it. And then secondly, I did notice that the President of Colombia is visiting the White House for a meeting today with our President. I think that's actually taking place right now as we speak. I know that your company is one of the better success stories of Colombia. And any sense what they're going to be talking about today in the meeting? Are there any trade or economic discussions do you think that might be taking place?
Santiago Giraldo: No.
Chris Daes: Basically, the President of Colombia is going to try to make sure that the free trade agreement continues to go on, that the tariffs that the President Trump put on aluminum for Colombia may be taken down. He is -- wants -- he wants to make sure President Trump understands that Colombia is a partner in the long run, and we are in a deficit with the U.S. in trading.
Operator: We have reached the end of our question-and-answer session. I would like to turn the call back over to Mr. José Manuel Daes for any closing remarks.
Jose Daes: All right. Thank you, everyone for participating in today's call. And we're going to keep working hard to give better and greater results and expanding windows all over the United States, and hopefully, some other continents. Thank you.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.